Ilana Goldstein: Good morning, and welcome to Beasley Broadcast Group's Third Quarter 2025 Earnings Call. Before proceeding, I would like to emphasize that today's conference call and webcast will contain forward-looking statements about our future performance and results of operations that involve risks and uncertainties described in the Risk Factors section of our most recent annual report on Form 10-K as supplemented by our quarterly report on Form 10-Q. Today's webcast will also contain a discussion of certain non-GAAP financial measures within the meaning of Item 10 of Regulation S-K. A reconciliation of these non-GAAP measures with their most directly comparable financial measures calculated and presented in accordance with GAAP can be found in this morning's news announcement and on the company's website. I would also remind listeners that following its completion, a replay of today's call can be accessed for 5 days on the company's website, www.bbgi.com. You can also find a copy of today's press release on the Investors or questions section of the site. At this time, I would like to turn the conference over to your host, Beasley Broadcast Group's CEO, Caroline Beasley.
Caroline Beasley: Thank you, Ilana, and good morning, everyone. We appreciate you joining us to review our third quarter results. Before we begin, I want to share an important update. Lauren Burrows, our Chief Financial Officer, resigned effective October 17 to pursue a new opportunity, and we thank her for her contributions to the company over the last year, and we wish her much success in this next chapter. Effective immediately, I am serving as Beasley's Principal Financial Officer to ensure continuity and maintain the financial discipline that has always been central to our culture. Sean Greening has been elevated to Chief Accounting Officer. And together, we are working closely with our finance and operations teams to ensure a seamless transition. Many of you know that I served in Beasley's finance leadership for much of my career, including as EVP, CFO, Treasurer and Secretary until 2016. That experience provides both continuity and a deep knowledge of the company's financial framework as we continue to navigate the evolving media landscape. Against this backdrop, our strategy remains clear and our execution remains disciplined. #1, to scale higher-margin digital products; #2, strengthen the quality of our earnings; and #3, pivot our sales organization towards direct data-driven relationships. In addition, I'm pleased to announce that the company closed on the sale of WPBB in Tampa on September 29. However, given the government shutdown, we are still in a holding pattern for our Fort Myers closings. Now moving on to our results. For the third quarter, total company revenue was approximately $51 million, representing an 11% decline on a same-station basis or a 7.5% decline year-over-year, excluding $2.7 million of political in Q3 '24. While this result was broadly consistent with the expectations we outlined last quarter, we are disappointed with our revenue performance this year, and we view these results as unacceptable. Despite disciplined expense management that helped offset much of the top line shortfall, the rate of revenue decline underscores a fundamental need to execute more aggressively across our sales org and accelerate the transformation already in motion. We are taking deliberate structural steps to strengthen accountability, sharpen focus and realign our go-to-market strategy towards sustainable growth. As we discussed last year -- last quarter, we are aggressively retooling our sales org to align with the realities of a modern, digitally led marketplace. This process is well underway, and we are adding dedicated digital AEs and digital sales managers in markets to accelerate adoption and execution. We recognize that this transformation will not happen overnight. Many of our legacy sellers remain more comfortable with traditional over-the-air products. Driving sustained digital growth requires a fundamentally different sales skill. And over the past several months, we focused on redefining roles, compensation structures and training programs to build a culture of digital fluency and accountability. At the same time, our digital business continues to outperform, serving as clear validation of our strategy and demonstrating the long-term potential of the Beasley platform. Year-to-date, digital revenue has accounted for roughly 25% of company's revenue. That compares with 19% at this time last year. And on a same-station basis, digital revenue grew approximately 28% year-over-year, driven by the continued expansion of our O&O products and accelerating advertiser adoption across our digital portfolio. What stands out is not just the growth rate, but the quality of that growth. Advertisers are spending differently, not simply more. Campaigns are increasingly integrated across display, audio and streaming. The result is a healthier, more diversified digital business that is both scalable and durable. Among our products, Audio Plus delivered an exceptional quarter. Revenue from Audio Plus exceeded $1.2 million in Q3, representing over 200% growth from Q2, driven by extraordinary performance in Philadelphia, Detroit and Boston. These markets exemplify the power of pairing our broadcast products with targeted data-rich digital solutions, a combination that is renovating strongly with advertisers seeking both reach and precision. Our digital margins tell the same story. Digital segment operating income reached 28% on a same-station basis, the highest in the company's history. This improvement reflects greater control of our inventory economics with O&O products representing roughly 58% of total digital revenue for the quarter. That mix gives us stronger pricing flexibility and lower transaction friction, all of which compound over time. While programmatic demand continues to grow, the real driver of profitability is our ability to capture and activate first-party insights by delivering advertisers measurable ROI and leveraging campaign automation through Audio Plus for generating higher average deal values with less operational complexity. In short, we're no longer just selling impressions, we're selling intelligence, precision and performance visibility. That evolution is powering the sustained digital margin expansion you're seeing quarter-over-quarter. Now beyond digital, we continue to advance our product innovation initiatives and this is led by Dave Snyder. In Q3, we piloted our self-serve advertising portal in Tampa, enabling small and midsized businesses to plan and purchase digital campaigns across our properties independently. With testing complete, we are preparing to launch in the fourth quarter across more markets. This platform represents an important step in expanding access to Beasley's digital ecosystem. Simplifying how advertisers engage with our inventory, unlocking new customer segments and driving high-margin incremental digital revenues through automation. Local direct revenue, which includes digital packages sold locally, grew 3.5% year-over-year, now representing nearly 60% of total local business. Discontinued rebalancing towards direct relationship-based revenue enhances predictability and reduces exposure to external volatility. Finally, we maintained our focus on efficiency and expense control. In Q3, we executed a comprehensive cost reduction targeting non-revenue-generating functions, duplicative systems and underperforming vendor relationships. Collectively, these measures are expected to yield an additional $1.5 million in run rate savings hitting the P&L by year-end with full benefit realized in 2026. These cost-cutting measures will only compound the progress we've already achieved. Building on the structural efficiencies established earlier this year and last year. In the third quarter, station operating expenses were down 8% year-over-year or nearly $4 million and this is less the [indiscernible] retro adjustment. We do plan to book the BMI retro adjustment in fourth quarter. Also, corporate expenses were down nearly 50% year-over-year, and that's partially due to onetime reclass benefits, which we will discuss in further detail. In the last 12 months, we have centralized core functions such as accounting and engineering support automated manual processes across our business and rationalize vendor relationships to capture national scale pricing and eliminate redundancy. We've also simplified management layers and consolidated corporate services across markets, aligning fixed overhead with our streamlined footprint. For the 9-month period ending September 30, total corporate and station operating expenses are down $15 million, and this includes over $4 million of onetime expenses such as severance, and other expenses. Excluding these onetime expenses, total corporate and station operating expenses are down nearly $20 million. These declines reflect durable structural efficiency gains not temporary belt tightening. Through all of this, our focus remains unchanged. #1, driving higher quality revenue; #2, executing with consistency and #3, positioning Beasley for durable profitable growth. And with that, I'm going to turn the call over to Ilana Goldstein, our Director of Finance, who will provide additional detail on the quarter's financial results. Ilana?
Ilana Goldstein: Thank you, Caroline, and good morning, everyone. Let me expand on some of the dynamics behind our third quarter performance and how we're positioning the company as we close out the year, while total company revenue of $51 million represented an 11% year-over-year decline on a same-station basis and 7.5% decline ex-political, the composition of that revenue continues to improve in quality. Agency softness remains the single largest drag on total revenue. However, the story beneath the top line is one of improving mix resilience. National Agency revenue ex-political declined approximately 16% year-over-year reflecting continued contraction in large-scale traditional media buying. This decline is driven by continued pullback in telecom and cable, insurance and quick service restaurant advertising, the category remains under sustained pressure as agencies reallocate budgets toward digital performance channels and reduce forward commitments across broadcast. The rate of decline accelerated modestly from the 12.1% decrease in Q2, reinforcing the importance of Beasley's pivot toward direct client relationships and digital monetization. Local Agency revenue fell roughly 17% year-over-year, a meaningful improvement from the 24.7% decline in Q2 reflecting stronger execution and improved conversion in key markets, including Philadelphia, Tampa and New Jersey. Declines were primarily tied to category-specific softness in auto, retail and sports betting. The gap left by agency contraction continues to be partially offset by the ongoing strength of local direct business, which as Caroline previously mentioned, grew 3.5% year-over-year and now represents nearly 60% of total local revenue. New business remains under pressure, down approximately 12% year-over-year ex-political, but the rate of decline has slowed materially compared to Q2's 21.6% contraction. We are seeing increased pipeline activity across retail, professional services and regional health care categories with health care alone now accounting for nearly 9% of total revenue, up from 6% a year ago, one of the key categories delivering consistent double-digit growth this year. From a category standpoint, the mix continues to evolve in a way that supports our long-term strategy. Consumer services accounted for roughly 30% of total revenue, underscoring the strength of locally driven service-based advertisers across home improvement, health care and personal services. Meanwhile, entertainment, auto and retail continue to show weakness, representing approximately 14%, 9% and 16% of total revenue, respectively. Entertainment declined nearly 40% year-over-year, reflecting delayed commitments from National promoters and a softer event calendar. Auto was down roughly 8%, constrained by manufacturer level budget compression and dealer consolidation. Retail decreased 22% year-over-year as advertisers continue to shift spending towards e-commerce and digital performance platform. Taken together, however, these trends point to a more balanced revenue mix, an incremental recovery across several core categories, while agency and national channels remain under pressure, local execution and digital adoption are helping to offset the headwinds and provide a clearer line of sight into stabilization heading into Q4. Our digital business continues to define the trajectory of our company, as Caroline previously mentioned, revenue grew approximately 28% year-over-year on a same-station basis, accounting for roughly 25% of total company revenue. What's most notable this quarter is the step change in digital profitability. On a total company basis, not to be confused with the same-station basis. Digital operating margin expanded from roughly 7% in the prior-year period to 21% in Q3, reflecting the combined effects of portfolio optimization, tighter cost control and improved monetization efficiency. Turning to expenses. This remains 1 of the clearest proof points of our transformation. As Caroline previously mentioned, operating expenses for the quarter were down approximately 8% year-over-year for $4 million. Corporate expenses are now nearly 50% lower than the prior-year period. However, in Q3 '25, we benefited from the onetime reclassification of $278,000 in capital expenditures and a $526,000 franchise adjustment, which reduced reported corporate expenses in the current quarter. We do expect franchise tax expense to trend higher in Q4, 2025 as those adjustments normalize. Additionally, while we recognized no severance at the corporate level in Q3, 2025, we recognized over $400,000 in corporate severance expense in Q3 '24 all of which makes the year-over-year reduction appear more pronounced than it truly is on a normalized basis. During the quarter, we incurred approximately $1.1 million in onetime costs primarily related to severance from the Q3 workforce realignment and transaction fees tied to the pending Fort Myer sale and sale of WPBB in Tampa. On profitability, station operating income or SOI was $4.9 million. Adjusted SOI, excluding stock-based compensation, severance and onetime items was $5.9 million and adjusted EBITDA was $3.9 million, excluding $50,000 in stock-based compensation, $1 million in severance and $1.6 million in transaction fees and onetime expenses. Interest expense totaled $3.3 million, largely consistent with prior periods. We remain disciplined in capital allocation and continue to prioritize deleveraging as proceeds from the Fort Myers transactions are realized. The combined effect of these actions is a leaner, more efficient enterprise. One capable of generating higher returns on every dollar of revenue and converting cost savings into sustainable shareholder value. From a liquidity standpoint, we maintained a cash position of $14.3 million. Capital expenditures totaled approximately $2.2 million in Q3 primarily reflecting onetime investments tied to our build-out of a combined centralized engineering center and studio relocation project in Charlotte, North Carolina. This initiative is designed to consolidate engineering infrastructure, while also transitioning our local studio operations into a more modern cost-efficient footprint. The project is expected to reduce annual operating expenses by nearly $1 million in 2026. The program remained on track for completion by Q1 of 2026 with the majority of related CapEx expected to occur in Q4, 2025. With that, I'll turn the call back over to Caroline.
Caroline Beasley: Thank you, Ilana. Before we move into our ratings recap, I want to take a moment to acknowledge a tremendous loss within our family. Earlier this month, we said goodbye to Pierre Robert, a legendary voice in Philadelphia and one of the most loved figures and rock radio. Pierre's passing marks the end of an era, not only for WMMR, but for our entire company and for the generations of listeners, who grew up with his voice his warmth and his genuine love of music. For more than 4 decades, Pierre embodied everything that makes local radio meaningful. Authenticity, storytelling in a deep connection with his community, his kindness and energy inspired countless colleagues and listeners alike, and his influence will continue to shape our culture for years to come. On behalf of everyone at Beasley, including our colleagues at WMMR. We extend our heartfelt condolences to Pierre's family and the many fans, who welcome him into their life. His spirit will always be part of who we are. Now turning to ratings. Beasley brands continued to deliver strong results during the third quarter. According to the latest Nielsen data, our combined PPM and dairy market ratings rose 6% year-over-year in AQH among adults 25-54, underscoring the continued strength of our content our brands and our connection to the core audiences. Speaking of our connection to our audiences, we were once again recognized at the 2025 NAB Marconi awards, where WMMR, Philadelphia earned 3 Marconi, #1, Legendary Station of the Year; #2 Major Market Station of the Year and #3 Major Market Personality of the Year for Preston and Steve. A remarkable achievement that speaks to both heritage and innovation. As we look to the fourth quarter, we remain much realistic and encouraged, while industry headwinds persist, particularly in agency categories, we continue to see momentum in the areas under our direct control, including local, direct and O&O product growth. Including approximately $8.2 million in political revenue from the fourth quarter of last year, total company revenue for Q4 is pacing down roughly 20% year-over-year. Ex-political, revenue is pacing down in the high single digits, which is generally consistent with third quarter trends. We are expecting the full year 2025 station operating and corporate expenses to be down between $25 million and $30 million. This excludes severance and other onetime expenses. Operationally, we are entering the fourth quarter with clarity and conviction. The sustained improvement in digital margins, the strength of our brands and the dedication of our teams all point to a company that is stronger more efficient and positioned for growth. And easily, we're guided by the same principles that have anchored used for over 60 years. Integrity, creativity and service to our communities. As we look ahead to 2026 and beyond, we remain committed to advancing our strategy of scaling our high-margin digital products, improving our overall margins across all products and pivoting ourselves toward direct data-driven revenue. By executing on these initiatives, we will strengthen our balance sheet and deliver long-term value for our shareholders, partners and employees. So I thank you for your continued support and ilana, I think we have a few questions that came in earlier today.
Ilana Goldstein: Yes. Here are the questions that were submitted prior to this call. #1, can you comment further on the agency channel issues? At what point do we anniversary the challenges there?
Caroline Beasley: Yes. As I just mentioned, agency business continues to be a headwind, although we do see it as slightly improved in the fourth quarter ex-political. We do expect that we will be anniversary -- the anniversary of these challenges will take shape in first quarter of next year.
Ilana Goldstein: The second question -- given the current revenue challenges, do you expect to do more cost savings in 2026?
Caroline Beasley: Yes. A couple of things. We anticipate the benefit of savings from our third and fourth quarter cuts to be about $4 million for next year, plus we are looking at further savings as we go into 2026.
Ilana Goldstein: And last question. Can you provide a sales price on Fort Myers? Who is the buyer of Fort Myers, do you see the opportunity for more asset sales?
Caroline Beasley: So there are 2 transactions that cover the Fort Myers sale. 1 is $9 million, the other is for $9 million, so a total of $18 million to Fort Myers broadcasting and Sun broadcasting. And as I've said this entire year, we're always open to discussing accretive transactions that will help us reduce our debt and our leverage.
Ilana Goldstein: Thank you so much. That concludes our conference call this morning.
Caroline Beasley: Thank you very much. Colby, we will hand it over to you.
Operator: Thank you. This concludes today's conference call. You may now disconnect.